Operator: Welcome to Stantec, Inc.'s Third Quarter 2014 Earnings Results Conference Call. With us today from Stantec management are Bob Gomes, President and Chief Executive Officer; and Dan Lefaivre, Chief Financial Officer. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions). As a reminder, today is November 6, 2014, and this conference call is being recorded, as well as broadcast live over the Internet. It will be archived for future reference at stantec.com, under the Investors section. Therefore, any members of the media who are joining the call today in a listen-only mode and who wish to quote anyone other than Mr. Gomes or Mr. Lefaivre are asked to please request permission to do so from the individual concerned. Stantec management would like to caution you that this call will include forward-looking statements and forward-looking information within the meaning of the applicable U.S. and Canadian securities laws. By their very nature, forward-looking statements require Stantec management to make assumptions and are subject to inherent risks and uncertainties. In addition, Stantec management will be mentioning additional and non-IFRS measures. I would now like to introduce your host, Bob Gomes. Please go ahead, sir.
Bob Gomes: Thank you. Good afternoon, everyone, and welcome to our 2014 third quarter results conference call. Dan will provide a brief summary of our financial results for the quarter, and I will follow with an outline of our market outlook. We will then address individual questions. Today, we released the results of Stantec’s operations for the third quarter of 2014. I am pleased to report we had a positive quarter supported by organic revenue growth across all our geographic regions and business operating units. This now marks three years in a row in which we have recorded positive organic growth. Our performance this quarter results from the diversity of our business model, the disciplined strategy approach we take to expanding our ability to serve our communities and from managing our business effectively. We are proud of these results given that they compare to the third quarter of last year which, as you may recall, was a record quarter for us. So it is nice that we can report today that we improved on those record results. Dan will now provide a review of our third quarter financial results. Dan?
Dan Lefaivre: Thank you, Bob. Good afternoon, everyone. Overall, Q3 2014, as Bob just mentioned, was a good quarter for Stantec. Our gross revenue increased 16.1% to $674.7 million, compared to $581.2 million in Q3 ‘13. Of that increase in Q3 ‘14, 5.9% was organic revenue growth with 5.1% organic revenue growth year-to-date. Q3 ‘14 growth was mainly due to increased activity in our Power, Transportation, Water and Community Development sectors and our Buildings business operating unit. As discussed in prior quarters the anticipated pace of organic growth in our Oil & Gas sector has tempered, but it was still positive in Q3 ‘14. Our net revenue grew less than our gross revenue. This was due to an increase in sub-consultants and direct cost charged to client projects in Q3 ‘14 compared to Q3 ‘13. This was as a result of securing larger projects which tend to have a greater percentage of sub-consultants and direct project related costs such as field and lab work. Administrative and marketing expenses at 39.3% of net revenue were higher in Q3 ‘14 compared to Q3 ‘13 due primarily to lower staff utilization on client projects and higher IT related costs. The lower utilization and the higher SG&A costs resulted partly from the increased integration activities from our recent acquisitions. On a year-to-date basis, our EBITDA as a percentage of net revenue was 14.5%, which is what within our expected annual range of 13% to 15%. Our net income increased 5.9% to $48.6 million compared to $45.9 million in Q3 ‘13. Diluted earnings per share increased 5.1% to $1.03 from $0.98 in Q3 ‘13 and our backlog grew to approximately $1.8 billion at the end of Q3 ‘14 from $1.4 billion at December 31, 2013 and was approximately 2% higher compared to Q2 ‘14. Lastly, yesterday, the company declared a quarterly dividend of $0.185 per share to shareholders of record on December 31, 2014. After taking into consideration two-for-one share split payable on November 14, 2014. The cash dividend will be $0.0925 per share. Overall, we are pleased with our performance in Q3 ‘14 and look forward to achieving our targets for the remainder of the year. Bob?
Bob Gomes: Thanks, Dan. As Dan just outlined, our results demonstrate positive performance for our third quarter. We had a very active quarter and we remain on track to meet our expectations for 2014. In this quarter, we continue to strengthen our expertise and reach into local communities by acquiring ADD, Inc., based in Boston and Miami, and we recently closed the acquisition of Penfield & Smith Engineers of California and we also entered into an agreement to acquire the Canadian engineering operations of Dessau, Inc, based in Montreal, Quebec. With ADD, Inc. and Penfield & Smith Engineers joining the Stantec community, we've strengthen the depth of our expertise with approximately 1350 new employees year-to-date. We expect to close the acquisition of the Canadian engineering assets of Quebec based Dessau in early Q1’15 adding an additional 1300 staff to the Stantec community. Looking at our performance across our business operating units, I would like to provide you with some highlight from the third quarter. In the quarter, we demonstrated the flexibility of our diversified business model and the strength of our community positioning. Strong organic growth in buildings and infrastructure more than offset the reduced pace of growth in energy and resources which we anticipated. Further, with our consistent focus on enhancing our capabilities and presence in the United States, we are well-positioned to leverage to strengthening U.S. market. In our Building business operating unit, improved healthcare and our -- improvement in healthcare and our strength in the education sector has resulted in securing projects in response to the increased activity in the United States. For example, during the quarter, we secured the project to provide the programming, planning architecture and interior design service for the academic building for the University of Texas in Brownsville, Texas. In our Energy and Resources business operating unit, in the third quarter, we experienced strong in our power sector in the United States due in part to the need to replace again infrastructure such as substations and switchyards. In Canada, where Stantec is a top provider of strategic regulatory and environmental scoping for power projects, we continue to work on transmission and distribution projects, especially in Western Canada. In our Infrastructure business operating unit, all of our sectors throughout North America gained momentum in the third quarter. Due to the company’s expertise in flood protection, including a growing portfolio of major water projects, we continue to secure significant projects across Canada and the United States. One example from the third quarter is the Springbank Off-stream Storage Protection project west of Calgary, Alberta, one of the largest flood mitigation projects in Alberta’s history. In our Transportation sector, strong client relationships, together with stable infrastructure spending, are resulting in new projects. For example, in the third quarter, we secured work on the Louisiana I-49 Connector, which is a 5.5 or 8.9 kilometer partly elevated six-lane highway. Now I’d like to comment briefly on potential market conditions going forward. Our overall outlook for the 2014 remains a moderate to strong increase on organic revenue with a target of approximately 5%. We are still on track to meet this target. Our outlook for the Canadian operations is to end 2014 with moderate to strong organic growth. This is mainly due to ongoing strength in the private sector, a stable public sector and private and continued activity in the infrastructure markets. In our U.S. operations, we are expecting to end 2014 with moderate organic growth. The public sector stable level on spending on infrastructure is positive for a water and transportation sectors. The private sector is responding to the strengthening of economy in the United States, for example, in community development where the housing market is responding to improve confidence. We anticipate the buildings market will continue to recover benefiting in particular our healthcare and education sectors. In our international operations, we are expecting to end 2014 with strong organic growth mainly due to increased activity in the Middle East resulting from recent awards for in healthcare and institutional projects. Looking at our individual business operating units, we expect the following for the remainder of 2014. As anticipated, we are seeing some recovery in our buildings business operating unit and expect to end the year stable compared to 2013. Our backlog in buildings continues to increase and are translating into projects, recognizing, however, the ramp-up time to revenue generation will continue to come slowly. We continue to anticipate ending 2014 with strong performance in our energy and resources business operating unit. We experienced strong activity in energy and resource related work in the first part of the year and activity continues to be strong even with the impact of lower oil prices. Mining companies continue to slow down on major projects and exploration due to soft market. We expect moderate organic revenue growth for 2014 in our infrastructure business operating unit. We anticipate our infrastructure business will continue to benefit from the backlog of rehabilitation needs and a need for expertise scenarios like flood management. In summary, we are confident with the strength of our diversified business model and the consistent disciplined execution of our strategy. This concludes our comments for today. Dan and I are now available to answer any questions you may have. Conference call operator Dwayne will now explain the question procedure. Dwayne?
Operator: Thank you very much. (Operator Instructions). The first question comes from Mr. John Rogers at Davidson. Please go ahead, Mr. Rogers.
John Rogers - Davidson: Bob, the last time, and it’s a number of years going, oil prices came down pretty substantially there was slowing and they came down much more severely than what we've seen so far, but there was a lot of slowing in Alberta and it rippled through to some of your work -- but yet you’re talking about accelerating activity in Canada and I’m just wondering maybe you can just expand on that a little bit. How you’re thinking about that and the risks?
Bob Gomes: I don’t know if I used the word accelerating. I think we’re still looking for Canada to continue.
John Rogers - Davidson: Sorry, Bob. But I wasn’t -- didn’t you improve it from moderate growth to strong growth in Canada or?
Dan Lefaivre: Yes, we did that I think after our first quarter results, John, is where we --
John Rogers - Davidson: Okay, fair enough, but I mean still strong growth.
Bob Gomes: Yes, strong growth but that change was made at the end of first quarter. And just to address the issue with regards to the oil and gas sector which certainly does have an impact. Like you said it’s not nearly as severe as it was in the past, it is significant no doubt. But the midstream business is probably the one part that’s not going to get affected as much as say the upstream portion. The production side of it tends to react fairly quickly to any volatility in the oil prices. But the midstream sector which is really pipeline, the transportation part of the oil and gas sector is really been under the gun for the last couple of years to catch up to the production side. So even a little volatility in the oil and gas price does not have as much of an impact in the midstream businesses, it does in the upstream. That’s not to say that it isn’t. There is still some slowing of that for sure, but the impact isn’t as great as the upstream side of the business. So that gives us a bit of confidence that we’re not going to see a significant retraction, it’s just not going to grow as fast as it has in the past.
Operator: Thank you. The next question comes from Mona Nazir from Laurentian Bank Securities. Please go ahead.
Mona Nazir - Laurentian Bank Securities: Okay. So just following on the last question, Canadian peer SNC announced today that they’re cutting 4,000 employees, 9% of the workforce, on the back of softer commodity prices and ultimately a collapse in global mining. I am just wondering your take on the announcement, does it concern you? And I know you said on the distill call that you could stand to add people soon after the acquisition closes. Is this still the case?
Bob Gomes: Okay, with respect to SNCs I really don’t have enough information to determine. I think from a quick review many of their layoffs are really affected by more of their international operations, but I’m not sure. I do know that there is no doubt the mining operations and I think again that’s a lot of it was associated with the commodity market. The mining operations certainly has decreased over the years in Stantec. We are seeing signs of that as well. We've been somewhat insulated from that as a result of the fact that the two major projects we’re working on were still underway and they will continue into next year. But we do see signs that there will be potential delays to those projects, one in Indonesia for our free port and the one the Jansen project for BHP. But certainly our slow down is not anticipating any kind of significant layoffs as SNC has had. With regards to our messaging previously about this sole transaction and the possibility or anticipation that we would be looking at hiring people shortly after the transactions close. We’re still anticipating that. That transaction won’t close until next year January but from all our due diligence underway our conversation is underway we certainly see opportunities for further work being one in Quebec and in as a result of their expertise. So we’re still anticipating that we’d be hopeful for quick hiring of staff, don’t see the possibility of layoffs shortly after that but it really comes down to winning work. But we see -- we’re pretty optimistic about that.
Mona Nazir - Laurentian Bank Securities: Okay, perfect. And just now turning to the increase in your subcontract cost, how do we view this going forward? Is it going to be a more elevated level? And the larger projects that you did sign, what’s the timeframe for these?
Bob Gomes: I don’t see this as being a trend, let’s put it that way. I think that it just did happen to be just higher cost this quarter than we normally had. I don’t see significant increase of major projects in the future that would then trend towards as having a bigger sub-consultant cost or expenses. The tendency for these jobs especially during the summer months because that’s where lot of the field work is going on, that’s where a lot of the laboratory work is done. So I don’t see that extending into the fourth quarter into next year in any significant way. So I would look at it more as an oddity than a trend.
Mona Nazir - Laurentian Bank Securities: Okay. And now just turning to your building segment which is struggling a bit for the first half of the year really turned it around with some very strong growth. I know you spoke to some of that projects on the health care and education side. So you view this growth as sustainable. And how is utilization now versus last quarter?
Bob Gomes: Well certainly, utilization is directly connected to the revenue growth. So it is definitely increasing as well. We are getting project towards so we are comfortable that this is going to continue. The one proviso that I had in the script was the fact that sometimes you can’t control the timeframe between awarding a project and that project actually ramping up to generating revenue. So there is always that risk of project delays before getting the go ahead from the client. The good news is we are winning projects, clients are rewarding us work and we see a lot of that now transferring into revenue. So we’re pretty confident that this is a trend that we've been messaging for a numbers of quarters, we felt the end was insight and we are really happy and pleased to see that turnaround and we expect that to continue into 2014.
Mona Nazir - Laurentian Bank Securities: Okay, and just lastly -- and then just lastly and then I’ll step back in the queue. On the acquisition front, you have a lot of capital that you can use although Dessau has yet to close. Is the pipeline still full and is there any change the purchase price and the multiples that you’re seeing?
Bob Gomes: So quick answer to that is, yes, the pipeline is still full. We’re always talking to a numbers of companies so that there is always conversations going on and we’re always looking for new companies to engage with. And from a multiples perspective, we really had not seen a trend or a change in that. There is obviously a wide a range of those multiples depending on the type of company, the sector, the type of firm you’re requiring but we really haven’t seen any variation or trends going up, especially in the sizes and the sectors we’re looking at.
Operator: Thank you. The next question comes from Paul Lechem of CIBC. Please go ahead.
Paul Lechem - CIBC: Thanks. Just wondering if you have any early views on 2015, it might be a little early, but given your backlog stretches into next year, do you have any thoughts on how organic growth and other trends might continue into next year?
Bob Gomes: No, that’s actually in the fourth quarter is when we do our deep dive into that when we’re just finalizing our budget reviews now with the board and with leadership. We will be, probably have better visibility into that in the fourth quarter. Don’t see any significant changes in our business. It’s pretty diversified, so we’d have to walk through each one but at this point in time we don’t have those details yet.
Paul Lechem - CIBC: Is there any different in terms of the pace of contract signings right now, the profitability of contract signings, the stuff that’s going into backlog today that might be delivered six, nine months from now, is there any change to that that you’re seeing?
Bob Gomes: No, no, I don’t see any significant change to the type of work we’re winning and the type of margins expected from that work.
Paul Lechem - CIBC: Okay, that’s good to know. Any changes in the market given a number of major acquisitions among your competitors, has that created any changes in the competitive landscape, has it created any outflow of employees, have you seen any impact from that yet?
Bob Gomes: Not yet, let’s say -- I’ll say not yet. I would expect that as a result of those two major transactions there is going to be -- there will be interesting landscape out there in the industry but we haven’t seen any significant changes or impacts as a result of that as yet.
Paul Lechem - CIBC: Is there anything you’re doing differently to position yourselves against these competitors because of their acquisition, how do you compete against them, has anything changed or what’s the message you put out?
Bob Gomes: No. The simple message is really nothing has changed. It’s pretty early days for both of those two significant ones you’re referencing, but I don’t even see long term. That competitive environment we don’t see changing dramatically. It’s going to take some time to for those firms to leverage and to integrate. And how successfully they do that will depend on how and what changes our environment but we don’t anticipate anything changing.
Paul Lechem - CIBC: All right. Well just lastly maybe if I can ask, is there any -- can you comment on the thought of having these large integrated companies with large integrated service offering across multiple regions, multiple markets? Is that something that is a value? Do you see yourself needing to become more integrated across more places or is that just a marketing pitch? Is there actual value in what they’re trying to portray?
Bob Gomes: Now that’s a good question for a much longer discussion, Paul, I’d love to have. A short answer to that is we believe our motto is very, very sustainable. We feel it differentiates us in a crowd of a lot of integrated firms. We’re a great partner in design builds and PE3s, a construction company that’s across North America in numerous different sectors. So all we can say is we’re really comfortable and really confident of our position and our strategic plan and where we’re positioned in the industry. But yes, an interesting question where this is going to continue to.
Paul Lechem - CIBC: Okay, we’ll have that another time. Thanks Bob.
Bob Gomes: You’re welcome Paul.
Operator: Thank you. The next question comes from Tahira Afzal of KeyBanc Capital. Please go ahead.
Tahira Afzal - KeyBanc Capital: I guess my first question is another one on M&A. Given the changing dynamic you’re seeing on the macro side in terms of oil prices and gas prices and global growth, could you comment on if there’s been any shift and how you look at what regions and which end markets to look at over the next six to nine months? And by that just wanted to get an insight into whether it’s created opportunity that got sentiments that were corrected or whether you genuinely fundamentally would look at something different?
Bob Gomes: If I rephrase question if you’re saying if the M&A activity is some of the more major things going on the shift we’re starting to see in the size of the change in oil and gas prices, is all of that affecting what we fear or what we’re looking at, the answer would be absolutely not. I think we’re looking at a much longer view point or strategy as always been much longer term. Things like oil prices reducing that means projects will slow down, we just try to get as close to our clients as we can and continue to flow with that. The diversity of our motto allows other parts of our business to pick up the slack which is exactly what’s happening right now. M&A activity that’s surrounding us really reinforces our plan and we feel that our plan is much significantly different than that, much smaller companies, much more localized firms that are very strong in a region or strong in a sector and just continued discipline along that. So we actually feel that what’s going on around us is not affecting us at all. It’s actually confirming that our strategy is very solid and is very sustainable. So we’re -- it really doesn’t change your outlook at all.
Tahira Afzal - KeyBanc Capital: Got it, okay. And second question is in regards to the U.S., Bob. Clearly we’ve seen some elections here and I’ve been getting a lot of calls from investors on what that means for the sector. Would love to get a sense, you’re on the frontend of a lot of this activity, so you might see changes coming in first versus others, but would love get your thought from that?
Bob Gomes: I think just from a very high level the change in the senate and the results of the election should refocus the government on investment of infrastructure. I think that’s probably the biggest theme or the biggest positive we see is that the focus will be on infrastructure. I think the government will get a little bit more aligned and a little bit more in tune with further investments in infrastructure. That’s been something we've seen in the past. So that’s our expectation and so that’s a very positive, we think for our industry is that focus on infrastructure.
Operator: Thank you. The next question comes from Sara O'Brien of RBC. Please go ahead.
Sara O'Brien - RBC: Can you guys comment on the U.S. growth opportunity following non-residential construction outlook that’s somewhat positive right now? Where do you see the biggest opportunity among your segments for F ‘15?
Bob Gomes: So definitely it’s going to be affecting the buildings group. I mean that’s the one sector it’s going to have an impact. I think our recent acquisition of ADD, Inc. is where we’re starting to see some I don’t know, I call it remarkable response to the ability of taking the expertise of a company like ADD, Inc. and launching it over a larger platform. They’re very focused in commercial market, hospitality market. They have a very strong position in the sector that we are not represented well before. But yet they are operating out of two offices. We now give them a platform and together -- that top form allows them to leverage that expertise across a much wider group of clients. So we’re pretty excited about that because it bring a new sector to us and the other sectors that we’re working on are all starting to show strength even healthcare. So certainly, that’s I think we showed that the last quarter with the growth in that business operating unit and we see that continuing. So certainly, all the indicators are pointing towards that being a much stronger sector, much stronger business unit for us going forward.
Sara O'Brien - RBC: Okay. And I apologize I missed some of the call but just wondered on the productivity level if there are any particular issues in Q3 and what the expectation is on the staff productivity level going forward?
Dan Lefaivre: No, there is really no surprises there, Sara, in terms of the utilization of staff. I think we did mention on the call that we have some higher SG&A cost as a result of all the acquisitions we've done and the integration activities that are going on.
Sara O'Brien - RBC: So would that be expected to be repeated in Q1 with Dessau closing?
Dan Lefaivre: Certainly, I think we will experience a lot of activity with Dessau. It’s a fairly large acquisition. So we will be busy with the integration in Q1.
Operator: Thank you. Our next question comes from David Rochow of Desjardins Capital Markets. Please go ahead.
David Rochow - Desjardins Capital Markets: Thank you. Good afternoon, gentlemen. Just wanted to dig a little bit deeper following upon the ADD, Inc. acquisition. When you talk about their growth potential just curious if you could put this in the context of broader industry, is it like the industry or above the industry growth rate?
Bob Gomes: No, we’d certainly expect it to be above the industry growth rate. If they would, I think that sort of speaks to the heart of why you’re doing acquisition is, if they would have just stayed where they are I think they would have grown at or slightly above the industry’s growth rate. They’re well-positioned firm and do great work. Through an acquisition what you want to be able to do is accelerate that above the industry growth rate which is by leveraging our platform, our locations, and by them being able to then leverage that over a wider platform with half the expectations and we have that of having an accelerated growth rate over the industry.
David Rochow - Desjardins Capital Markets: Okay. And if acceleration would be inline with the acceleration you’ve seen on previous acquisitions or is this truly exceptionally above the other acquisitions you’ve done in the past?
Bob Gomes: It all comes down to execution; it all comes down to winning work. We see the opportunity is as good or better than any acquisition we've done, but certainly you still have to get out there, you have to compete you have to win the work. But I would say just because of brand new sector that we now are well-positioned in that we weren’t before and the combination of our breadth of offices across North America that combination I would say is makes it a little bit more optimistic than the average acquisition. But certainly every acquisition we do has that very similar type of strategy, the same idea and the same expectation.
David Rochow - Desjardins Capital Markets: Okay, that’s good to hear. Switching just then from buildings to water, you mentioned that in the last couple of quarters about fairly good strong momentum in your booking for the water. Two questions on this front. Is it mostly in Canada or is it across North America, and can you quantify a run rate in terms of your new bookings in this space?
Bob Gomes: It is across North America. I’d say we’re winning projects. As we mentioned, in Calgary, we’re working on major projects, in the United States a lot of flood control projects a lot of water treatment projects. So I would say that the projects are well balanced on both sides of the border. Our run rate, no, can’t really think of that numbers off the top of my head.
David Rochow - Desjardins Capital Markets: Okay. Then I guess I mean maybe asking another similar question. You noted in the outlook about the United States pointing to the Water Resources Reform and Development Act. Is there a number that you’ve perhaps internally thought to yourself as there might be an opportunity here?
Bob Gomes: Not really, I think that act is providing some opportunities in funding. A lot of that really hasn’t translated into projects yet, its more future opportunities. So no, I can’t simply say that that act has resulted in a 10% increase in opportunities or something. That would be hard to quantify.
David Rochow - Desjardins Capital Markets: All right. Well I appreciate your thinking about it.
Bob Gomes: Okay, thanks, David.
Operator: Thank you. Our next question comes from Maxim Sytchev of Dundee Capital Markets. Please go ahead.
Maxim Sytchev - Dundee Capital Markets: Just a quick question for you. I mean obviously given your very strong presence in midstream and LNG world especially on the permitting side, I was wondering if may be you can please provide some color in relation to how that market is evolving in Canada, specifically if you’re seeing any slowdown in terms of activity and any read through from your clients in relation to the recent tax announcements?
Bob Gomes: The tax announcements are positive. There is no doubt about that. So I think that so I think that our clients are probably going through their analysis of that but that was certainly positive news. But the oil prices anytime there is reduction and some significant as it has been in the last few months, I think clients just are thinking about their projects and they just become slower in the awards and slower in the progress. So we have experienced that. We see that as relatively short term and we’re not overly concerned but certainly that has had an impact and that’s reflected in our results with the slower growth in that sector. But we’re not overly concerned. Again as I said earlier in the call that midstream is an area that’s a little bit insulated from the volatility of the oil prices just because of the backlog of projects necessary, but we have seen our clients slow down in their decision making and slowdown in their advancements of projects, and that’s to be expected.
Maxim Sytchev - Dundee Capital Markets: All right, okay, that’s helpful. And then was wondering if you may be can comment on just re-acceleration of organic growth in the U.S., I mean this is something that people have been watching very closely. I mean obviously this is job specific and by segment specific but any outstanding dynamics that you feel are worth highlighting to explain this new found growth in the U.S.?
Bob Gomes: No, it’s -- we've been messaging as I was going to say hoping this for a long time, but I think there has been increasing optimism month by month quarter by quarter in the United States. We’re finally starting to see that translate into real organic growth. So it is very wide spread. It is not just in one specific sector or one specific geography. A lot of it is focused in our infrastructure area, so that would be water transportation community development. The bulk of it I would say would be focused in that area but certainly we’re also winning projects in our buildings group. So it is fairly wide spread and it is fairly wide spread from a sectorial perspective as well. So it’s good to see, I think it’s just generally over riding better confidence in the United States, and I see the election put that in a even a more positive spin for the next couple of years with regards to the changes there. So we’re looking forward to a much stronger 2015 I would have to say at this point.
Maxim Sytchev - Dundee Capital Markets: And to be sure you’re all just talking about the U.S. in general.
Bob Gomes: Just the U.S. I think we've been messaging that we were looking for strong organic growth. We’re starting to finally see that basically we think that’s in a sustainable position.
Maxim Sytchev - Dundee Capital Markets: Right. And then just quick question in relation to M&A. I mean historically you’ve been extremely sensitive in terms of obviously value creation what you’re paying for. Given the dislocation that we see in the capital markets right now on some publicos, have we seen some compression in terms of expectations for the sellers in the private market or people are assuming that the business as usual for the time being?
Bob Gomes: I’d say business as usual for the time being. We haven’t seen a significant change in the market.
Dan Lefaivre: Yes, we aren’t seeing any real change in expectations around pricing if that’s what you’re asking, Maxim.
Maxim Sytchev - Dundee Capital Markets: Yes, that’s right. Okay, that’s fair enough. Thanks a lot.
Operator: Thank you. Our next question comes from John Rogers of Davidson. Please go ahead.
John Rogers - Davidson: Hi, just wanted to follow up on some of the end market drivers. Within the U.S. the growth that you’re seeing, Bob, is it private sector or public sector?
Bob Gomes: It’s actually a little bit of both. Certainly, the lot of the water business we’re getting is from the public sector, a lot of the transportation work is from the public sector. I wouldn’t say it’s a significant increase in the opportunities. I think we’re getting better just winning some projects, so that’s always good. In the buildings it’s much more in the private sector that we’re starting to see some of the improvement. So if I had to look at it overall probably slightly skewed towards the public sector.
John Rogers - Davidson: Okay. And then on the electrical grid work that you’re doing both the transmission and the power plant I think you mentioned, is that incrementally getting stronger than what we've seen because others have talked about that business slowing down or the end market slowing down I know you’re at the front end so?
Bob Gomes: Well we’re at the front end on some of it. We are doing a lot of engineering work and mainly a lot of it is improvements and expansion and capacity expansion for a lot of coal plants. Right now with the price of natural gas we’re seeing a lot of the coal providers augmenting their ability by -- basically throwing in a couple of turbines, gas fired turbines to generate. So we do a lot of that work, a lot of its smaller projects which I think some of the bigger players don’t really pay attention to, but for us we do enough of those it has a significant impact to our revenue generation. So we have a pretty good sweet spot in that business where we’re seeing a awful lot of projects come forward to us there.
John Rogers - Davidson: Okay. And on the transmission side?
Bob Gomes: Transmission not as much, a lot of that is more of the environmental side. I would say probably the biggest growth we've had is more in the gas turbine generation side.
John Rogers - Davidson: Okay. And then as far as the mining business goes still difficult, any signs of life there?
Bob Gomes: No, we haven’t seen any significant changes though. The good thing is we’re also in the front end of that. So we do a lot of small feasibility studies and analysis as well. So the slowdown in the capital program of a lot of our client sometimes means they move money towards the exploration side which suits us well. They’re not nearly as large projects certainly, but we don’t see any immediate change in that market. There really needs to be some changes in the commodity prices to get the mining company exited again.
John Rogers - Davidson: Okay. And lastly how far away are you, I know you’re going to tell me you’re always looking, but from moving more international and by that I mean outside of Canada and the U.S.?
Bob Gomes: Yes, you’re right, we’re always looking, but it’s still a few years away. I think the messaging we always had is that we’re still very focused in the United States. We feel that we have a huge investment here but that investment still isn’t mature enough for us to be able that its long term basis sustainable. So we’d like to continue to invest here in the United States over the next couple of years, two to three years. Beyond that, that’s probably when you’ll see us start looking at maybe potentially some acquisitions in the international space. It’s not to say that we’re not going to acquire companies that may have a presence in the international market but our focus would still be U.S. firms that have a good presence here in the United States. So still a couple of years out before we would be called a significant looker at the international space.
Operator: Thank you. (Operator Instructions). We’ll now take our next question is coming from Mona Nazir of Laurentian Bank Securities. Please go ahead.
Mona Nazir - Laurentian Bank Securities: Hi, I don’t know if you disclosed it, but I am just wondering what your percent, the percentage of revenue that stem from Western Canada?
Dan Lefaivre: Yes, no, Mona, we don’t provide that break down of revenues. We only provide it on the broader Canada, U.S. and international business units.
Operator: There are no further questions at this time. You may proceed.
Bob Gomes: Thanks, Dwayne. There are no more further questions. I’d like to close our call by saying that we’re confident in our ability to achieve our growth and deliver consistent value for our shareholders. We look forward to speak to you again in the near future. Thanks very much.
Operator: Thank you. Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your lines and have yourself a great day.